Operator: Good afternoon everyone and welcome to the Grupo Bimbo's Second Quarter Results Conference Call. If you need a copy of the press release issued earlier today, it is available on the Company's website at grupobimbo.com. Before we begin I would like to remind you that this call is being recorded and the information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's press release regarding forward-looking statements. I will now turn the call over to Mr. Rafael Pamias, Chief Executive Officer of Grupo Bimbo. Please go ahead, sir.
Rafael Pamias: Thank you very much. Good afternoon everyone. Thank you for joining us. Connected on the line today is our CFO, Diego Gaxiola, Mark Bendix, the Executive Vice President and several members of our finance team. The second quarter results emphasize the advantages of our status as a diversified global leader in our industry. Our EAA operation substantially increased profitability, achieving a record double digit margin for the second quarter at 10.4%. Significant contribution came from our operations in Mexico, which not only demonstrated solid performance, but also continued to emerge as our most profitable region, achieving sustained growth with an EBITDA margin expansion of 140 basis points. These successes effectively mitigated the challenging environments in North America and certain Latin countries. Furthermore, we continue to reap the benefits of our enhanced revenue growth management capabilities, lower raw material costs and a strategic investment in innovation and transformational projects aimed at long-term value creation. Collectively, all the mentioned initiatives contributed to a record adjusted EBITDA margin for the second quarter of 14.2%. We are pleased to share with you that Kantar recognized our bimbo brand as the most chosen food brand in Mexico and within the top five most chosen brands in Mexico and Latin America in the fast moving consumer goods sector. Our local teams have done an excellent job of positioning our brands in the different markets, meeting our consumers' needs through a variety of products. We continue making progress towards our sustainability goals. At the end of 2023, we reduced our Scope 3 emissions by 12% versus 2022 or by 3.7% versus our 2019 baseline. These results are in line with our target of becoming a net zero carbon emission company by 2050. We are proud of our accomplishments, while acknowledging the challenges we face and the significant work to do ahead to continue reducing our carbon footprint. However, we firmly believe we're taking the right steps on being sustainable by design through our sustainability strategy and its three priorities; For You, For Life and For Nature. Now looking into the results by region. In Mexico, despite a very tough comparison of the second quarter of 2023 where we posted almost a 13% growth rate coupled with extreme hot and abnormal weather conditions in Mexico which mainly affected our sweet baked goods category, sales improved by 4.4%, mainly due to sustained growth across almost every category and every channel, a positive price mix effect, increasing the value to our consumers with three quarters in a row with positive volume evolution. Adjusted EBITDA margin has strongly expanded to 140 basis points, reflecting the favorable mix effect, positive volume contribution, but lower commodity costs and productivity savings throughout the supply chain. In North America, after several years of heightened demand and subsequent growth, overall consumption has been recently constrained along with a shift to value impacting volume performance. Excluding FX effect, top line declined 3.4%, mainly due to a difficult comparison from the second quarter of 2023 when our sales increased by nearly 12%, also because of the strategic exits of some non-branded business. Although these results are slightly below our expectations, we are already seeing improving trends sequentially. We continue to evaluate promotions to ensure we have competitive pricing in the marketplace and enable the right price volume equation. Our promotional activities continue to drive consumer engagement and market penetration while supporting an anticipated modest sequential improvement in volume throughout the remainder of the year.
Rustic: Despite lower commodity costs and the realization of the strong productivity benefits, adjusted EBITDA margin contracted 130 basis points, mainly due to the soft top line performance, a strategic investment in our value chain to increase our capabilities to better serve more customers and consumers, the strong Mexican peso impacting product cost important for Mexico and general but moderating inflation. We are always looking for opportunities to optimize our efficiency and effectiveness across our supply chain footprint. Aligning with our objectives, we recently announced the closure of three small bread and rolls facilities in the U.S. These bakeries are older and less efficient than our remaining fleet of bakeries. To put it in perspective, these bakeries constitute less than 2% of our total capacity. We will continue to proactively look for opportunities to improve our process structure. Moving on to Latin America, excluding FX effect, net sales increased 3.8%, mainly because of the excellent results in Brazil and smaller countries such as Costa Rica, Uruguay and Paraguay. On top of that, our business in Argentina has shown signs of resilience due to our ability to capitalize our risk management policies together with proactive revenue growth management strategies. On the other hand, we are facing a challenging environment in Colombia and Chile where we are working on maximizing consumers' value and meeting their needs by continuing to strengthen our brands through innovation and differentiation, as well as focusing on operational execution and cost discipline. In Europe, Asia and Africa, excluding FX effects, sales increased almost 9%. This was mainly due to strong sales performance across most organizations, most notably Bimbo quick service restaurants UK and Romania, coupled with the inorganic contribution from the four acquisitions we have completed in the region over the last twelve months. The very strong adjusted margin expansion of 280 basis points resulted from the solid sales performance, lower cost of sales, efficiencies throughout the supply chain and the positive contribution from the past acquisitions which led to a record double digit margin for the second quarter of 10.4%. With this, I would now like to turn over the call to Diego who will walk you through our financials. Please Diego, go ahead.
Diego Gaxiola: Thank you, Rafael. Good afternoon everyone and thank you for joining us today. This quarter's results were good and a perfect example of the benefits of being a well-diversified company. On one hand, we were able to reach an all-time high level of sales in Mexico and EAA, while at the same time Grupo Bimbo's sales increased without the negative effect of a stronger Mexican peso. Despite the tough comparison of the second quarter of 2023, where our sales grew 14.2%, we continued to benefit from lower commodities and from the investments we have made in the past, as well as efficiencies gained across the supply chain, which led to a record EBITDA margin for our second quarter. All this happened despite the soft consumer environment we and most CPGs are experiencing in the U.S. while we invest in our transformation journey for our supply chain in the country. Moving on to the balance sheet, we closed the quarter with a net debt to adjusted EBITDA ratio of 2.6 times and our total debt closed at MXN 135 billion. The increase in our debt position when compared to 2023 was mainly because of the CapEx and strategic investments, including the two strategic bolt-on acquisitions that we closed during the quarter and announced in the past conference call which were Moulin d'Or and [indiscernible] and also because of the depreciation of the Mexican peso of more than 1 peso per dollar that happened at the end of the second quarter. Regarding the opportunity to optimize our footprint with the three bakery closures in the U.S. that Rafael just mentioned, financially speaking, it is a very positive news, because the payback will be of close to one year, so we will see this benefit in 2025. As for the guidance of the year, we are reiterating our expectations of flat to low single digit top line growth and a low single digit growth in EBITDA. Although the Mexican peso recently depreciated and we expect a higher peso for the second half of the year, we're not adjusting our guidance, mainly because the overall consumer environment in North America continues to be challenging. If you will recall, we were initially expecting a contraction of the EBITDA margin during the first half of the year. Nevertheless, we have seen better results as our margin has remained flat during this period. So even considering the soft consumer environment, we are reiterating the guidance and are highly confident we will see a margin expansion in the second half of the year. We can now proceed with the Q&A session.
Q - Unidentified Analyst: Good afternoon. Thank you for getting my question. I just wanted to explore a bit more of the Latin American market, understand what you're seeing for overall consumer sentiment and behavior for the most relevant regions. We saw here a strong performance in Brazil, so maybe some more color on that? That would be my question. Thank you.
Rafael Pamias: Mark, please go ahead with North America and I will continue with Brazil.
Mark Bendix: Yes, Rafael the question I believe is for the LatAm region, on the consumer.
Rafael Pamias: Oh, excuse me. Yes, excuse me. Yes, moving on LatAm, where we are present in 15 countries and we are enjoying an overall good evolution, except notably in two geographies. So I'm going to start with the good news in LatAm. After a couple of years of turning around our businesses in Brazil and Argentina and through a full potential plan, we have been able to develop resilient and vibrant businesses in both geographies where we have been able to expand our market share and brand power together with becoming a leaner and meaner organization. Also, we have been able to improve gradually our position in several geographies in Latin Centro, the Central American region and also in Latin Sur. We are experiencing lately some pressure on two geographies Chile and Colombia for different reasons. Chile is experiencing a very competitive environment, especially on pricing and modern trade, and we have adjusted our price pack architecture, especially in modern trade, also taking advantage our deep presence in other channels. We are happy to share that we are already seeing good signs on the top line and in the bottom line. When it comes to Colombia, the situation is different. Consumption is going on the wrong direction, and this is a common problem that all companies in the food businesses are experiencing in Colombia. We are also taking similar measures that we did in Brazil and Argentina, and we are expecting to go through a full potential program that will turn around the business in the next 18 months. But in general, as in any other geography, we have mixed results on volume evolution, but we are certain that the situation in LatAm is going to gradually improve in the next quarters in overall. So that would be my answer, and apologies for not understanding Tiago, the first part of the question.
Unidentified Analyst: No, no, absolutely. Thank you very much for the color.
Rafael Pamias: Okay.
Operator: The next question comes from Ben Theurer from Barclays. Please go ahead.
Benjamin Theurer: Yes, good afternoon and thanks for taking my question. I have had two ones, so one actually now about the U.S. and you've talked about the closure of these free plans and obviously the benefits going forward. So I just wanted to understand, as you look through the assets, and obviously, we all know there's a lot of like M&A history and how these assets came together, do you currently see more opportunities to streamline to optimize your portfolio, particularly in the U.S.? But I guess it applies also for other regions where you've been active on M&A, just to understand like what are the opportunities that you're seeing on some of these initiatives of optimizing the portfolio? That would be the first question and I'll followup with my second one in a bit.
Diego Gaxiola: Yes, hi, Ben, this is Diego. What I can tell you is that, I mean, today we do not foresee any additional closures. If not, we will be pursuing them, particularly these types of closures that are very beneficial for the business. These are three small plants that will bring very quick profitability into the business. It's going to take us some months during the second half to conclude the process of closing these three plants. So we will see the benefits in 2025 and as I mentioned during the call, the payback is quite high. Also, it's a very good news for us to find this opportunity. Now, what I can tell everybody is that we will continue to work very hard and going very deep, very granular in trying to find additional opportunities. Now, it is not as easy or as clear as it was in the past when we concluded the two big acquisitions that previously had a very important growth through acquisitions and the consolidation of the market. So there was like a very clear opportunity to restructure the manufacturing footprint in the U.S. Today, it's more complicated, it's very granular. We have to go very deep to find these types of opportunities. Today, what I can tell you is that we do not foresee additional opportunities, but we will continue to work on finding them.
Benjamin Theurer: Okay, perfect. Thanks for that, Diego. And then the second one might be a little trickier, but as we look at the North American business, and obviously, you had sales declining, and I suspect it's in part as well because of just like tough volume comps, and then obviously, pricing, maybe, maybe a little bit of deflationary. But at the same time, you get all the cost tailwind and we're seeing it with a nice or a little over 100 basis points gross margin expansion, but clearly with lower volume, you kind of lose a little bit of operating leverage. So can you help us understand and maybe separate a little bit, what would have been the gross margin benefit from lower commodity cost and lower raw materials if volume or sales would have been flat instead of down somewhat 2% in FX neutral terms or 3% in FX? Excuse me, 3%?
Diego Gaxiola: Yes, Ben. I mean, it's hard to arrive to on a specific number. I understand your point and of course, that's not only on gross margins, probably a little bit more on operating margins or EBITDA margins, of course, that we lost some efficiency because of the operating leverage of the company by losing the volumes that we lost during the second quarter. It's very hard to arrive to on a specific number because depends in which category, in which region, in which part of the country. So, unfortunately, we do not have a straightforward answer that we can give you this specific number. I mean, of course, obviously, directionally, it has had a negative impact on the margin. You're right. I mean, commodities have been helping, of course, for North America and for all the different regions in the company. As was mentioned six months ago when we talked about the expectations for 2024, we were also expecting to see even a more easier comparison for the second half of 2024. And that's why we, because of commodities, but also because of the performance that we have started to see in the U.S. and some other countries, we feel confident that we will start to see margin expansion for Grupo Bimbo in the second half.
Benjamin Theurer: Okay, perfect. Well, I know it was a tough one, but thanks for some of the color. Have a good evening.
Operator: The next question comes from Alvaro Garcia from BTG. Please go ahead.
Alvaro Garcia: Hi, thanks for the space for questions. I have two questions. The first one is for Mark on the U.S. I was wondering if you could maybe, Diego has mentioned this sort of easier comp base for the second half of the year and some of the high frequency data for July still sort of points to mixed trends, so any sort of color on how you're thinking of the second half? If may be and I know the snap benefits we've cycled those already, so how we're thinking about volumes out of that tough comp base and yes, just how we're thinking maybe on a category basis and what could rebound and what's less likely to rebound would be very helpful? Thank you.
Mark Bendix: Great. Thanks Alvaro. Thanks for joining us and thanks for the question. As we look to the second half, we know that the consumer is more challenged, right? And we've seen that across other CPGs. The theme you've probably seen this first half, but consumers want more value to stay with our brands and so to meet that consumer, we're providing different tactics to be deployed in a very strategic manner to ensure a positive ROI for Grupo Bimbo. We continue to expand our distribution to meet the consumers wherever they shop. We continue to invest in our brands through innovation.
Operator: Sorry, I believe our presenter's line just dropped. Please wait a second while they get reconnected.
Mark Bendix: Alvaro sorry, we got disconnected for some reason. So we are retweeting. Let me just finish what I had started. We have brands that continue to resonate with our consumers, resulting in strong growth like Rustik, like our Artesano brand and Marinela, which resonates very well and we continue to expand in the U.S. We remain focused on providing really good value for our consumers by offering great tasting products that offer variety, convenience and affordability. The second half reflects a volume lap benefit. The laps are much better in the second half and gives us confidence that we can continue to grow the back half and the second half. We continue to see inflationary pressures moderate versus the prior year, but certain agricultural commodities may continue to be elevated as we know. We're adding manufacturing, distribution and go-to-market capacity to support our growth. And we believe we have the right people, the strategies and advantage capabilities to succeed in the marketplace and nourish a better world For You, For Life and For Nature, which is our mission.
Diego Gaxiola: Mark, if you let me just to compliment on the last part of your answer and just to remind you what happened in 2023 for North America. At the very beginning first quarter we had a growth of a little bit more than 4% and then in the second quarter we started to see a decrease. It was almost a 2% decline. Now for the second half of the year because of the consumer environment, but also because of the performance of the Mexican peso, because these numbers are in Mexico pesos, not in local currency, we had a double digit decrease in the following two quarters. So that's why we're mentioning that we will also have an easy comp in the second half. Now, a tough consumer environment for an easy comp and we also expect to see a weaker peso in the second half that will help in terms of the top line growth that we see in the U.S. and also a little bit in the bottom line. As you know, we have an important amount of imports in the U.S. of products produced in Mexico that today are expensive to the U.S. market that we believe will start to be a little bit more profitable in our U.S. operations.
Alvaro Garcia: That's very helpful. And then just one more on Europe, Asia and Africa, and EAA margin performance was pretty impressive, so I am just wondering if you could sort of break that down, there are a lot of countries in there. I don't know if it's some of the sort of newer geographies that have very low profitability of the rebound or maybe some of the legacy stuff that's just performing better. Thank you very much.
Rafael Pamias: Yep. And I will take this one. We are quite encouraged by the results of EAA in the last quarters. This is basically a double effect. Our organic growth is robust because we have been able to grow over proportionally in some geographies, such as UK and Romania. And let me remind you that the acquisitions completed over the last 12 months have been accretive and continue to have excellent results. Definitely, we're finding new sources of growth in new categories for our organic countries, and I would say that the last acquisitions are also following the same trend like the previous ones. So we're happy with the organic results, we're finding new sources of growth, and the acquisitions are over our business plans.
Alvaro Garcia: Great. Thank you very much, Rafael.
Operator: [Operator Instructions] The next question comes from Fernando Herrera with Compass. Please go ahead.
Fernando Herrera: Hi, guys. Here I was just wondering if you can provide any more color regarding private label market, and of course, to talk about your exposure, because in the report you mentioned that you had the exit of some private level businesses. But I was just wondering if this is the same one that we saw in the first quarter or if you're taking the exit on additional businesses.
Rafael Pamias: Excuse me, Fern can you repeat the question, please?
Fernando Herrera: Yes, sorry, I don't know you hear me well, now?
Rafael Pamias: Yes, a little bit better.
Fernando Herrera: Okay, perfect. Yes, so I was just wondering if you can provide any more color regarding the…
Rafael Pamias: About private label?
Fernando Herrera: Yes, private label and of course the exposure you have, because in the report you mentioned that there's an exit from the soft product business. So I was just wondering if this is the same we saw in the first quarter or you're taking the exit on additional businesses.
Rafael Pamias: Sure. Okay, thanks again for the question. The volume softness was primarily in the U.S., was due to private label and consumers migrating to private label and value channels. We have also cognitively exited some private label businesses that frankly just didn't make sense for us and consumers are becoming more value conscious. So we look at private label. It is still a strategic part of our business. So we're not exiting all private label business where it makes sense with our customers and we're building partnership with customers. We'll continue to accommodate that volume, but we have to ensure we have the capacity to meet that demand. We will be opportunistic and add it where it makes sense and where we can't make money, we will exit it and have SKU rationalization. So it's an important part of our business, but it doesn't dominate our business for sure. We're strongly a branded company and we'll continue to be so.
Fernando Herrera: Cool, thanks. And if I may, I have an additional one regarding [indiscernible] and basically trying to talk about buybacks, what is your view about that?
Rafael Pamias: You asked about the buyback program?
Fernando Herrera: Yes, sure.
Rafael Pamias: Yes. Well, during 2024, we have bought back close to 40 million shares, representing close to MXN 2.6 billion. So we still have a little more than MXN 12.5 billion in our legal reserve for potential future buybacks. As part of our shareholder return strategy, we will continue to analyze opportunities and we will be active in the buyback program as long as we continue to have a strong financial position, gross cash flow generation, as it has been the case, so we can continue to allocate capital to revive that forward.
Fernando Herrera: Okay, perfect. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Mr. Rafael Pamias for any closing remarks.
Rafael Pamias: Thank you very much all for your time today. Please do not hesitate to contact us with any further comments or questions you might have. Have a very good day. Goodbye.
Operator: This concludes the conference call. Thank you for attending today’s presentation. You may now disconnect.